Jarmo Salonen: Ladies and gentlemen, welcome to this conference call on Sampo Group's Full Year 2018 Results. I'm Jarmo Salonen, Head of Investor Relations at Sampo. And with me at this call, I have our Group CEO and President, Kari Stadigh; our new Group CEO and President, Torbjörn Magnusson, starting from 1st of January, 2020; and our new Group CFO; Knut Arne Alsaker. As always, we start with Kari's introduction into the fourth quarter of 2018. But let me remind you before that that you can follow this call live on our website sampo.com/results. And a recorded version will be available at that same address later on. Kari, I'll hand over to you.
Kari Stadigh: Thank you, Jarmo. Welcome to the conference call on my behalf as well. We have a history of presenting numbers very briefly before the talk. But today I would like to talk a little bit about people and governance, because business in the financial sector in the end is all about people. And therefore, of course, I'm very happy that our Board has decided to nominate as my successor Torbjörn Magnusson. We have been Chairman, CEO pair for 17 years and delivered over the years something which I think all of you have appreciated. But this is maybe not the main point. The main point is that Torbjörn's successor Morten Thorsrud is also an internal nomination. And Ingrid, who takes over from him as Head of BA Private is also internal nomination. In front of me sits for the first time on this call, Knut Arne Alsaker, as the new Group CFO and he's also an internal nomination. I think this is a critical thing within the financial sector that you are able to create the culture which develops shareholder value and that can be seen in the numbers year after year. So I would claim that these nominations really create less volatility and stable and predictable earnings because its culture, people and know how that counts. These can actually been seen in our last year numbers really well because even if the investment environment was difficult, our operative KPIs for the insurance business were excellent. If we correct it for one of the combined ratio for If, for the full year 2018 was best ever. The fourth quarter standalone was the best ever standalone measured by combine ratio. Also our cost efficiency increased once again and the cost ratio is the lowest ever. And really as the cherry on the cake, I think it's impressive that our growth continued. I think we have now had almost two years with growth within the P&C sector and we were growing in all territories all client segments, very promising indeed. You saw Topdanmark's numbers, very stable, very good results and Torbjörn has been cheering Topdanmark in the next AGM, Torbjörn will step down in order to concentrate the rest of the year more on his new chairmanship in If and chairing Nordea. And Ricard Wennerklint has been on the Board, will become Chairman. And then Morten Thorsrud, the CEO of If, will join the Topdanmark Board. So after the management changes that have been executed in Topdanmark and continuity these nominations give to the Board, I expect Topdanmark to perform well in line of expectations going forward as well. Mandatum Life reported its best ever operating profit. That is of course to a great extent, thanks to the 197 million they booked from the agreement with Danske. But more importantly, Danske is now the third largest bank in Finland; they have an exclusive distribution agreement with Mandatum for insurance products. And of course Mandatum's expense result was highest ever as where their unit link sales, so all in all, excellent operational results on the insurance side. On the investment side, it was disappointing to see that the investment market turned really sour in the end of the year. And I think on the whole, we lost roughly EUR 200 million in our portfolios. However, the good news is that it's almost exactly the sum that we have recovered in the first weeks of this year. So we are back in the ring fighting fully, which is of course very nice to see even if the volatility has been exceptional in last year, at the end of last year in December. We have made from the parent, five investments in our core area, which is the Nordic financials, and with hindsight, if I look back to that I would do the investments again. Probably I could do some of them at a lower valuation. But on the other hand, we wouldn't catch up the lost time if we were now in the market. And the lost timing is meaningful because Saxo has launched a bid on BinckBank. Nets has already done a few add ons as well as Nordax and Asiakastieto is in the middle of a merger with UC, so very good and promising development on that front as well. And lastly, but not least, we could see a good quarter for the parent, given the interest rate and currency rate development. This is, Jarmo, my summary for today. Shouldn't we open up for questions?
Jarmo Salonen: Yes, let's do that. Thank you. Operator, we are now ready for the questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Youdish Chicooree of Autonomous Research. Please go ahead, your line is open.
Youdish Chicooree: Good afternoon, everyone. I have got three questions, please. The first one is really on the personnel changes. I mean your announcement today talks of the need to inject new energy in a new phase of development. So I was wondering if you could elaborate on this new phase and what role the new investor season has to play in this place. That's the first question. The second one is on whether you think the cost audits at Nordea are ambitious enough? And finally, the last question on non-life and there seems to be some pricing momentum in Moto in Norway and considering that your claims inflation experience is not as high as peers. Can you just say you're improving your margins in this business at the moment? Thank you.
Kari Stadigh: The first question, I just want to clarify, was it on Nordea that you -
Youdish Chicooree: That's right. Yes, that's right.
Kari Stadigh: The energy and new persons, I could answer in the role of the - chairing the nomination committee, how the nomination committee looked at this. And as you remember in the nomination committee, we have representation from the four biggest shareholders i.e. Sampo, Nordea Fund, Alecta and Varma. And then in the last meeting, we also had [indiscernible] present as the newcomer. I think that the discussion in the nomcom has been unanimous on all fronts, and we share the view on the board changes. So what was the nomcom really looking for? I think it was clear that now in Nordea during the chairmanship of Björn Wahlroos has done all the big calls, 1 billion in IT, 700 million in compliance investments, de-risking, taking down the risks in Russia, selling of Baltic's, private banking Luxembourg, life business in Denmark and so on. It's a long list. On top of that there has been re-domiciling the headquarter. There has been branchification of the legal structure, so huge major projects. Then the next phase naturally is execution. So the nomcom was looking for execution expertise and then they turned their eyes to Torbjörn, who was proposed to become the new chair and of course three very experienced people with a banking background. So that's the background for the decision and it was unanimous and as said, I have been working together with Torbjörn for 17 years, so I think I know him better than anyone in the business sector or business life and I'm convinced that that the shareholders of Nordea will get what they see.
Youdish Chicooree: [indiscernible] Thank you.
Kari Stadigh: Your second question was -
Youdish Chicooree: On the cost targets at Nordea.
Kari Stadigh: I think that's up to Nordea to answer and not up to us. We can see a positive cost development and you had to be patient and wait what Nordea communicates on that.
Torbjörn Magnusson: On the non- life question you very accurately described the situation in Norway and we have as always been long-term in our thinking. We have the - the market is receptive for rate increases so they are coming through in a way which we feel is also accurate. Let me add to that that the one market which I have year after year, being a bit disappointed in the large corporate Nordic market has also been receptive to corrected price actions. As you probably know, the big renewal there is the 1st of January and we have been pleased to see the best renewal for at least 10 years
Youdish Chicooree: Just one follow up, would it be fair to say that actually at the moment you've been potentially improving your margin, but also increasing your client numbers as well.
Torbjörn Magnusson: We're, we're maximizing value in doing both. Yes.
Youdish Chicooree: Okay, great. Thank you very much.
Operator: Thank you. And our next question comes from the line of Jakob Brink of Nordea. Please go ahead, your line is open.
Jakob Brink: Thank you very much. I have three questions please. The first one is about Swedish growth in premiums in net earned premiums. So again, could you give us just some help on what we should look for in 2019 given the tax change on motor in 2018 and then how the growth - or what impact of that will be on growth rates in '19 please? The second question is about the Mandatum Life's SCR in Q4, is the decline in the SCR, fully markets driven or something else going on there? And then finally on this group solvency on the fundings of conglomerate with Nordea increasing around EUR 1 billion towards the end of the year, I estimate that your solvency will drop around to 125%. I seem to recall that that's the sort of threshold you said you could not go under some years ago. Could you give us some update on solvency and the whole change of the capitalization of Nordea please? Thank you.
Torbjörn Magnusson: The first question, thanks for that really, easy question to predict how many cars will be sold in Sweden by month for this year. My expectation is that the comparison to the first half of last year will be a bit stretched as most Swedes chose to buy a car in the first six months because of the tax change from 1st of July and then that the comparison numbers become easier towards the end of the year and that's probably as much as I can say about that.
Knut Arne Alsaker: And the second question on the SCR, yes, it's market driven also market related due to the fact that the symmetric adjustment for equities in Mandatum changed. As market goes down the symmetric adjustment is damp and we own that impact according to Solvency II to regulation control and market increase. It will increase also the SCR risk somewhat.
Jakob Brink: Okay
Knut Arne Alsaker: Can you repeat the third question on the group solvency?
Jakob Brink: It's just if you adjust for the sort of increase in Nordea capital consumption and Sampo doing 2019 as senior systematic risk buffer increases, I get somewhat lower solvency rates for Sampo towards the end of the year than the end 2018, one. And so to just - could you give us some help on what solvency level will you talk it and is there any updates on the implications of the Nordea capitalization change?
Knut Arne Alsaker: There's no news Nordea reported a risk exposure asset perfectly in line with what was previously communicated and that in itself is increasing our solvency requirement due to the fact that that increases Nordea's pillar one requirement which is what we use for our solvency calculation. What happens during 2019 is that the systematic risk buffer for banks is introduced in Finland. It will increase from 0% to 2% 1st of January and will increase to 3% 1st of July, which again will be the percentage multiplied by the risk exposure assets in Nordea and our share of Nordea that will impact Sampo's capital requirement. Then we have an ongoing discussion with the regulator regarding this matter and other technical matters as well since our clear view of course, is that the risks for Sampo due to Nordea's moves to Finland has not changed.
Jakob Brink: But let's say you don't get anything out of the Finnish regulator, then your capital requirement will go up on Nordea by EUR 1 billion as far as I estimate by Q3 this year and your owned funds will be roughly unchanged if you keep the current dividends slightly increasing, which means that you're solvency rates will drop from current level to around let's say 125 to 130, would that be a problem if that happens?
Knut Arne Alsaker: If that happens we will look into taking other measures to increase the solvency ratio somewhat.
Jakob Brink: Okay, fair enough. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Matti Ahokas of Danske Bank. Please go ahead, your line is open.
Matti Ahokas: Hi, yes, good afternoon. I'd like to continue on the same topic the solvency one. Obviously we saw the decrease in the capital requirement from the internal models by roughly 500 million in the quarter, but you still writing the report that you expect or you're looking into different measures to counter the impact of the higher Nordea requirement as Jacob mentioned earlier. What are these measures all together or is this still - are you referring to the internal model? The second question is regarding the weather we're seeing here in the Nordics. A lot of snow reminding me a bit like last Q1, what have you seen so far in terms of claims in the non-life business weather related, should it be somewhat similar to Q1 '18? Thank you.
Knut Arne Alsaker: On the first question, the discussions around the internal model is one of the discussions we have ongoing with the regulator has you saw in Q4, we go for an agreement to use that for the financial conglomerate calculation. And that is also a discussion with the same regulator to use for Solvency II purposes, so that's one of the things. There is a list of things which would adjust the risk position in the group somewhat. The drivers of the risk position and there's also possibilities to utilize the fact that the Sampo groups have ample hybrid capital capacity, which we could use to increase the owned funds. But the first discussions - the first action is to continue these discussions with the Finnish regulators.
Torbjörn Magnusson: Turning to the weather expert then, there are two things that decide how much winter losses and climate losses, weather losses you will have in a non-life insurer in the Nordic Region. One is how early and how severe the winter is when it comes because it makes the ground frozen and the houses freezing. That was late this year, so that's helpful. Secondly, it depends on how prolonged the winter is. And that was the issue last year when we came out of even Q1 with an expectation of a normal to benign winter and then the winter continued for another month. So that's all I can say at this point in time.
Matti Ahokas: So I interpret Torbjörn, your answer that it has not been as bad as Q1 '18?
Torbjörn Magnusson: We were in the beginning of February.
Matti Ahokas: Fair enough, thanks.
Torbjörn Magnusson: I remember 2010 when Carrie asked me around this point in time if we would have lots of winter losses and I said probably not. And then we had the worst winter for 30 years.
Matti Ahokas: Great, thanks.
Operator: Thank you. Our next question comes from the line of Kevin Ryan of Bloomberg Intelligence. Please go ahead, your line is open.
Kevin Ryan: Thank you. I just wanted to ask a little bit more about Mandatum and the Danske situation. Could you give us some guidance on what you expect Danske to sell in terms of volume this year and also what sort of product types, so that we can get a feel for the capital usage and that sort of thing. But any additional background on that would be really helpful. Thank you.
Kari Stadigh: Yeah, if I remember right, the volume in 2018 through Danske was maybe half for what it was a year earlier. And that of course, the uncertainty whether the distribution agreement would be prolonged or not made an influence here and possibly also some internal issues. Now, after we signed the new agreement, we started off by promoting risk insurance mainly loan insurance combined to their mortgage sales and as a percentage of how many of their mortgages have loan insurance, I don't know if Danske has published that ever, but we are doing much better now than a year ago. So that's not the volume product that you see, but it's of course an important product as for our risk ratio.
Knut Arne Alsaker: And it's not a driver of capital consumptions in Mandatum, neither that nor the unit linked product that Danske sells.
Kari Stadigh: Yeah, then of course, the next step which we would like to promote these that Mandatum is one of the leading or if not leading house on alternative assets, so it would be great if also these could be sold through the Danske distribution, but those plans have not yet progressed. And they would also be sold under probably a big part of the Manda insurance rappers or even directly and that would not take capital either. So we are in the fee business mode with them and share the fees.
Kevin Ryan: Thank you.
Operator: Thank you. Our next question comes from the line of Blair Stewart of Bank of America. Please go ahead, your line is open.
Blair Stewart: Thank you and good afternoon. I've got a few questions. Firstly, just coming back to the considerations around the solvency position if as and when the capital requirements for Nordea go up. I just wonder what considerations you've taken to deconsolidating Nordea given that the earnings yield is pretty much the same as a dividend yield would make a great deal difference to the numbers, but you would of course avoid the consolidated capital position. Second question relates to the dividend. The dividend growth over the last few years has been, I think, on the last six years has been averaging about 13%, one three percent, which is outpaced the level of the underlying earnings growth. So I guess a question for you, Torbjörn as the incoming CEO, your ability to commit to the same level of generosity that your predecessor has exhibited, that's my second question. And thirdly, I listened to the press conference call earlier today and you seem to be implying rather simplistically, but you seem to be implying that the success that you've had with the P&C business focusing on the customer, good IT and good underwriting, replicating that success is what you're looking to do at Nordea, but of course the banking and insurance industries are very different the competitors challenges are different, the regulatory challenges are different. So I just wonder if that's maybe an overly simplistic assessment of the way forward. Thank you.
Kari Stadigh: On the deconsolidation, I don't think that tool - we have every measure in our toolbox, but that that toolbox, I wouldn't call it imminent because I remember how much I enjoyed the investment community's approach to us when we started consolidating. So some of my colleagues say that it's less important whether you consolidate or not, but maybe I'm the old school and then we see what the successors do. Of course, the situation might be different if the reporting is fully in mark-to-market environment, then these one line consolidations don't play that much into the game, but that's in 2021. So I think that we have ample time to consider that mark-to-market environment where it wouldn't be very different if we are consolidating or not. On the dividend I would like to spare Torbjörn here a little bit and say that that if I interpret him I think he's very artistic, so he really likes the - not really the percentages, but I think he's actually artistic. He sings in a choir and so it might be that he adopts this idea of a beautiful graphically increasing dividend.
Blair Stewart: I disagree with you Kari, he's an actor, he's not artistic at all.
Kari Stadigh: How about Torbjörn, what would you say?
Torbjörn Magnusson: Let's move on to the third question. I come -
Kari Stadigh: On dividends, I think we are all committed to increasing dividends and we see many ways to continue to be owners and investors in businesses that create growing dividend yield for our shareholders.
Torbjörn Magnusson: And then Blair, yes, I think that banking and non-life insurance are very different animals. And I did not mean to say that what I said at the press conference was the only actions necessary for Nordea. On the other hand, I think that the fields that I mentioned are fields that were similar or are similar between If P&C and Nordea and that there are also lessons to be learnt.
Blair Stewart: Yeah, I was the one who was simplifying Torbjörn and I do recognize the point, but Nordea is hugely complex animal, I guess so you've certainly got challenge there. Good luck with it.
Kari Stadigh: Yeah, Blair I also think that one thing to consider is that if you have an oil tanker that turn slowly, once it creates momentum, then it turns quite nicely also and the banking sector has one thing, it's really scalable. So I think that with the investments that are being done there, then the scale plays into a role. And then we must remember that all disruptive businesses, they are also things where the new fintech solutions and so if we look at them all the fintech's they want to have Nordea as their partner because Nordea has the biggest amount of customers in the Nordics. It's the only truly Pan-Nordic bank. So therefore, as Nordea has developed the capabilities to be a gatekeeper and choose the right fintech partners this could also improve their relative market position because I think many of us have been annoyed that the offering between the Nordic banks is really similar and there has not been really differentiation. I think that in the digital world, we will see more of a differentiated client offering. And then I think Nordea is really well positioned. So I see the potential as significant here.
Blair Stewart: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Per Grønborg of SEB. Please go ahead, your line is open.
Per Grønborg: Yes. Thank you. Just a single question from my side, I struggle a little bit with the dividend from If. If I look at page 10, it looks like the equity capital you have on page 10 for If has not been - relatively that haven't been paid. If I look at the page 46 with the S&P [ph] capital base that's obviously been adopted. Can you clarify what's happened on - what's the difference between these two slides?
Kari Stadigh: Sorry, Per. What was the number of the first slide?
Per Grønborg: Slide 10 and slide 46.
Kari Stadigh: I think we do so that they now know the page numbers and we give them some time to look into the details either during the call, we will get an answer or then we will call you up with the answer.
Per Grønborg: Perfect, thank you.
Operator: Thank you. Our next question comes from the line of Michael Huttner of JPMorgan. Please go ahead, your line is open.
Michael Huttner: Can you hear me? I'm calling from [indiscernible]. So I had three questions. The first one is on the dividends and the growth. Maybe you could give a little bit of a feeling for where you have potential buffers. The reason I ask is not all operations grow their dividends smoothly year-on-year and so if one last division didn't have growth, what would be the possibility for the others to kind of make the slack. I just wondered if you could give a feel for the excess capital in the various divisions or maybe in the parent, which is available [indiscernible] should it be needed. This is this is really just a question. The other one is the combined ratio of 85.2% [indiscernible] maybe a bit late. How sustainable is this, this is an extraordinary number. However, listening to the early answers you seem to imply that the margins actually rising both in Norway and in Finland commercial lines. And so the margins are rising from this level. And I just wonder if you can give a feel for are we now on the stable level, we've been at 85 for the last three years or can we now improve is that is that further kind of step function going forward. And then the final one is, Kari, you said and I was looking at Bloomberg that - you said, you're getting to the time and into a little legal sense [ph] and I just wondered what you meant by that? Thank you.
Kari Stadigh: Well, that was a very personal comment there. I don't like the word retire so, legally I'm definitely out from Sampo by the end of the year, but privately I'm of course continuing to work, so in some other capacity, but not within the Sampo group. On the dividend side if you want us to paint the picture that if something awful happened could we manage one year with entering dividends for instance, if that's your question I think you must remember that we are strongly capitalized, so we have never taken any internal dividends to the extreme and I think we have communicated that the surplus capital to theme capitalized if is how much. It's EUR 1 billion probably, yeah. So there is there - there are ample resources. And then we have of course –many times commented to you that that we haven't maximized subordinated debt in the entities within the group. And of course, the third lever is that now we have direct investments in the parents which are not there to be kept forever, so all these together. But then the fundamental thing of course underlying here is that as a group we are geared to benefit a lot from increasing interest rates if that ever happens. The deposit margin will appear in the bank P&L, the discount rates will release capital from our liability side and of course our fixed income portfolio will earn much more. So we are still positioned in a situation where we target increasing, slowly increasing dividends.
Michael Huttner: The bank book from Mandatum is that still releasing capital?
Kari Stadigh: That's also a good comment. You are on the ball, so the worldwide profit portfolio decreases by at least 200 million a year and if we have a solvency of 25% that releases 50 million a year as well. You're right.
Knut Arne Alsaker: And then the 85.2 combined ratio is not an extraordinary number. We aim for higher returns, which you can also see in top Denmark, where the combined ratio is lower than that, but also and as importantly I think, if you look at the Nordic market as such, our peers are also at least striving for combined ratios in the region of what we are achieving.
Michael Huttner: Really helpful, excellent and thank you very much.
Operator: Thank you. And our next question is follow up from Blair Stewart of Bank of America. Please go ahead, your line is open.
Blair Stewart: Thank you. I didn't expect to come on so soon. A couple of things, would we come back to the 1 billion comment that you just made in terms of the surplus capital within the P&C business because on an S&P basis know that you've paid the dividends at the end of the year it's more like 200 million, so I just wonder how you got to that 1 billion. Secondly on Mandatum looking at Q4, you earned almost as much in the risk result and the expense result in Q4 as you did in the first nine months of the year. I just wonder is there anything exceptional within there or is that still a very strong quarter. And Kari, you talked about losing 200 million due to investment markets which had been replaced so far this year. If I look at your fair value adjustment reserve it went down by 400 million, so I just wonder how we can reconcile that and has that 400 million more or less been topped backup so far this year with market moves? Thank you.
Knut Arne Alsaker: On the excess capital, you're right. If we were to look at the rating or left dividend then a billion is stretching it, but of course the rating - for exactly there some PMO, but that's not an exact number. And Kari's good comment was also related to having a more lower Solvency II ratio and if I'm focusing more on maximizing the capital from a solvency perspective and not necessarily referring back to the rate thing as an S&P model. And the other one was Mandatum to Q4.
Blair Stewart: Yeah.
Kari Stadigh: So is there anything exceptional, of course the risk result.
Knut Arne Alsaker: Of course there's no exceptional, it was a very strong Q4 and fully year on the expense result in Mandatum. It was the best ever actually. Then if you were to look forward you should remember that we previously said that when Danske started selling the commission we will - when paid to Danske is somewhat higher than what would be the average commission level in 2018. So you should bear that in mind when thinking about the expanses while going forward, but in Q4 excellent expense result in Mandatum and a full year as well. The only thing that was special was a smaller reserve release which contributed to the good risk result in Mandatum in 2018 and in the fourth quarter of sort of single digit, EUR 1 million, low single digit EUR 1 million. That's the only special item in the Q4.
Kari Stadigh: And you asked about -
Blair Stewart: Sorry to interrupt Kari, should we think about those numbers as a run rate apart from the reserve release, given that the Danske agreement is now back up and running freely, should we think about those numbers that are run rate going forward?
Knut Arne Alsaker: The risk result from Mandatum has been fairly stable to current level for a number of years. So I would consider that a run rate. The expense result which we had in 2018, I think is also a reasonable run rate. My comment was also that you shouldn't expect that to increase in the same way as it's done over the last few years.
Blair Stewart: Understood, thank you.
Kari Stadigh: Then there was the question of 200 million. So to get that numbers to match, I think that we lost 200 million last year on investments and we have made up that this year, but then the reserves were partly - or do you want to answer?
Knut Arne Alsaker: The fair value reserves, it's both the mark-to-market value changes and the fact that we sold off some assets, reduced our equity exposures during the year and in Q4, which contributed as of end of Q3 to the fair value reserve.
Blair Stewart: Okay, thank you.
Operator: Thank you. [Operator Instructions] And we have a follow up from Michael Huttner of JPMorgan. Please go ahead, your line is open.
Michael Huttner: I'm just asking a little bit more and maybe you also said so then I listen to the replay. Working apart from the pricing where you said low single and I think liability to commercial lines in Finland. What's the pricing doing in the other markets, please? And on the weather where it sounds to me and - whether as you say is you really don't know, but sounds to me was 2018 was maybe a little bit benign due to the late winter. Is that something which kind of normalized for? Thank you.
Torbjörn Magnusson: Pricing in Sweden is very rational. There's been very few moves in market share for a long time, no change there except for the large corporate business that I just mentioned. Finland, big changes in 2017, rate reductions and despite that we have a very good result in Finland. No big changes in market share this year. Denmark same thing, the winter last year was definitely not benign maybe not that much worse than normal, but you know need to normalize anything there because it continued for so long into the year and what is normally the spring and April before it ended.
Michael Huttner: Got it, thank you very much and a final question, there was a storm why should - on the cost of the new year's day can you say anything about that? Sorry this maybe a very late question.
Kari Stadigh: The answer was timing.
Michael Huttner: Due to the timing, okay, thank you. That's all I needed to know, thank you.
Operator: Thank you. The next question is for another follow up from Blair Stewart of Bank of America. Please go ahead, your line is open.
Blair Stewart: Yeah, just more of a comment than a question and I just wanted to say congratulations Torbjörn on the promotion. It's been a long time coming and it's nice to see a fellow actually going up in the world. But listening to the press call today, I noticed the Chairman and CEO refreshed each other as cookie and nala, so one observation would be that you're going to have to give yourself a nickname if you're going to be successful in this job.
Torbjörn Magnusson: Thanks a lot Blair. I'll keep that in mind and think about it.
Blair Stewart: If I can help, let me know.
Torbjörn Magnusson: Thanks, Blair.
Operator: [Operator Instructions] Okay, so no further questions coming through at this time. I'll hand back to our speakers for the closing comments.
Kari Stadigh: Thank you, operator and thank you all for your attention and Per, Knut Arne and I will come back to you in a few minutes about the slides you referred to. I'm not sure that we've got it here. Talk to you soon. Thanks. Bye, bye.
Torbjörn Magnusson: Thank you.